Operator: Good morning, ladies and gentlemen, and welcome to the Cengage Group 2023 First Quarter Ended June 30, 2022 Investor Call. [Operator Instructions] It is now my pleasure to turn the floor over to your host, Mr. Richard Veith, Treasurer of Cengage Group. Richard, over to you. 
Richard Veith: Good morning, and welcome to Cengage Group's Fiscal 2023 First Quarter Investor Update. Joining me on the call are Michael Hansen, Chief Executive Officer; and Bob Munro, Chief Financial Officer. A copy of the slide presentation for today's call has been posted to the company's website at cengagegroup.com/investors.  
 The following discussion contains forward-looking statements within the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Such forward-looking statements can be identified by words such as believe, expect, may, will, estimate, likely and similar words and are neither historical facts nor assurances of future performance and relate to future results and events, and they are based on Cengage Group's current expectations and assumptions. 
 Because forward-looking statements relate to the future, they are subject to inherent uncertainties, risks and changes in circumstances that are difficult to predict and many of which are outside of our control.
 Many factors could cause our actual results and financial condition to differ materially from those indicated in the forward-looking statements. You should consider such factors, many of which are subject to the risks and uncertainties discussed in the slide presentation, which accompanies this call, and in the Risk Factors section of our fiscal 2022 annual report for the year ended March 31, 2022, as may be updated by our quarterly reports for fiscal year 2023. 
 Any forward-looking statement made in this presentation is based on currently available information. The company disclaims any obligation to publicly update or revise any forward-looking statements, except as required by law. 
 On today's call and in our slide presentation, we will refer to certain non-GAAP financial measures. Definitions and the rationale for using these measures and reconciliations of each to its most directly comparable GAAP financial measure are provided in the appendix to the slide presentation. I'll now turn the call over to Michael for an update on the business, followed by Bob, who will take you through the first quarter details before we open the call to questions. Michael? 
Michael Hansen: Thank you, Richard. Good morning, everyone, and welcome to our call. In the first quarter, which is our smallest quarter of the fiscal year, we continue to make progress against our long-term growth plans. I am pleased to report that Cengage Group is off to a good start in fiscal 2023, and we are on track to meet the financial outlook we provided on our last business update call. 
 We continue to focus on significant growth opportunities in specific education markets and remain driven by our commitment to provide customers with indispensable products and superior service that is unparalleled in our industry. I will provide an overview of our first quarter performance and strategy and will then hand the call to Bob Munro to deliver financial details on the business units and outlook as we progress in fiscal 2023. 
 While, we certainly are not immune to the ongoing macro headwinds of inflation, supply chain disruptions and higher ed enrollment trends, we have concentrated our efforts on the factors that we can control and, through this, have built a resilient business.
 Our strategy continues to be underpinned by the global shift to digital education content as well as strong opportunity in the growing skills market. These strategic priorities, combined with our effort to create greater efficiency in our operating model are enabling us to deliver sustainable growth in revenues and profitability. 
 During the first quarter, we made great progress in realigning our business units to leverage resources and scale across our entire global platform. We believe that advances in technology, the impact of the pandemic and the shift in learners' expectations for education outcomes have driven a sustained trend of learners wanting more choices in how they learn as well as how they use their education path to improve their skill set and enhance their job opportunities.
 Let me now provide some highlights of our accomplishments and strategy going forward. Cengage Academic, which consists of U.S. and international Higher Ed as well as our secondary business, is coming off a solid year's performance despite Higher Ed enrollment headwinds. Our product strategies are focused on ease of use across the entire customer journey, which includes adoption, use and service. We believe differentiated products like Cengage Unlimited and, more recently, Cengage Infuse, streamline student access to our digital solutions and position us to continue to maintain and grow share over time.
 Within Cengage Academic, we have combined teams and created one approach to content and digital delivery across Higher Ed globally as well as the secondary education market.
 We are leveraging our capabilities and resources used to grow digital in the U.S. Higher Ed business to expand Cengage Academic's overall digital footprint. To date, Cengage Academic is 75% digital overall up from 64% in fiscal '20, and underpinned by 85% digital penetration in U.S. Higher Ed. We expect this digital expansion in Cengage Academic to progress across all geographies and markets over fiscal year '23 and beyond.
 Additionally, as our sales team has returned to the field in force, following its 2-year COVID-related absence, we are increasingly optimistic that we will see increased digital adoptions as we build our customer pipeline. Cengage work has grown more than 70% on a trailing 12-month pro forma basis and remains on a strong trajectory to build on this momentum. In particular, we continue to see opportunity in high-growth industries such as health care, cybersecurity and skilled trades.
 Additionally, we continue to make significant progress with the integration of Infosec, our recent acquisition. In the first quarter, on a pro forma basis, Infosec grew by 16% year-over-year, which we believe will accelerate as our integration efforts take effect. Over 70 of our Ed2Go academic partners now have access to Infosec courses, and there are nearly 700 courses in partner catalogs. We have also meaningfully expanded our international sales force, opening a sizable growth opportunity.
 Our third business, Cengage Select, includes leading businesses in attractive markets that are fueled by digital adoption. This business unit demonstrated strong performance in the first quarter building on the momentum that began in the latter part of fiscal '22.
 In English Language Teaching, which was heavily impacted by the pandemic, we are seeing real momentum in our business to government offerings as well as in digital sales, which are up 25% on a trailing 12-month basis. In our research business, demand for archives and databases has expanded and U.S. renewal rates are at 95%.
 In summary, against the backdrop of significant near-term uncertainty, our focus will remain on executing on our growth pillars and balancing investments while managing our cost to achieve margin expansion and predictable profitability over time. We are encouraged by our first quarter performance, and we're confident that continued execution of our strategic plan will deliver strong financial results and value for all of our stakeholders. 
 Now I will turn the call over to Bob for his financial review before taking your questions. Bob, over to you. 
Bob Munro: Thank you, Michael. Good morning. Turning to the Cengage Group financial highlights. We've had a good start to our fiscal '23. Our adjusted cash revenues for the first quarter were $252 million, up 4% in total. On a pro forma basis, which includes Infosec in the prior period comparatives, Q1 underlying adjusted cash revenues were up 1%. Adjusted cash ELPP for the first quarter was $2 million compared to $15 million in the prior period. Our Q1 performance is in line with our full year guidance, which we are reaffirming. 
 The first quarter is our smallest quarter and typically represents only 15% to 20% of our annual revenues and minimal profit contribution. As we have demonstrated in the past, first quarter financial results are not indicative of full year performance, given the inherent seasonality of our business and the shifting channel and demand dynamics, which we are actively driving through our digital strategy. In addition, our fiscal '23 Q1 revenue performance relative to the prior period was held back by 2 temporary effects, which will reverse over the year.
 First, in U.S. Higher Ed, in Q1 of fiscal '22, we saw a significant post-COVID rebound in print and bundled sales ahead of institutions bringing students back on campus in the fall. This drives a high comparative and ran counter to long-term trends of declining print and bundles in favor of digital stand-alone products, a trend which shifts sales to later in the year. In this fiscal year, we have seen a return to trend with first quarter print and bundle sales down as we expected, whilst offsetting digital sales are expected to fall later in the year.
 Second, we have also seen a temporary impact in Q1 this year of higher print back orders as we tightly manage our supply chain. As we covered in our full year update, we expect industry supply chain pressures to shift revenues between quarters, but we do not expect this to impact our full year results.
 Looking across the annual cycle. On a trailing 12-month basis, adjusted cash revenue was $1.37 billion, up 3% on a pro forma basis. The Q1 phasing effects, which are expected to reverse over the year, temporarily moderate the trailing 12-month revenue growth and ELPP performance.
 Turning to Q1 financial results by business. As covered in our prior update, we have realigned the Cengage Group operating model into 3 core business units: Cengage Academic, Cengage Work and Cengage Select driven by our strategic priorities. In line with this, we have changed how we report the business, which is reflected in our new segment reporting of results, which we have adopted for fiscal '23 onwards. The appendix to the presentation sets out prior periods restated to this new basis.
 Cengage Group's pro forma revenue growth of 1% reflects continued strong growth in Cengage Work, which is up 11%, supplemented by a solid start in Cengage Select with growth of 3%. Together, these businesses offset the 4% decline in Cengage Academic. Cengage Academic is driven by the marked shift in print and bundled purchasing patterns in U.S. Higher Ed between this quarter and the prior period, which outweighs good starts in international and secondary. 
 At this stage, the ELPP contribution of academic work and select businesses trailed the prior period driven by continued normalization of the cost base post COVID, and in the case of Cengage work, investments we are making to sustain high growth, integrate Infosec and scale the business.
 We expect revenue growth across all businesses to accelerate through the balance of the year. This reflects our belief in the resilience of our business to broader macroeconomic headwinds, the strong momentum we see in sales pipelines and good progress we are making across key go-to-market and product initiatives.
 Turning to our segment performance in more detail, starting with Cengage Academic. In academic, we have integrated U.S. Higher Ed, international Higher Ed and secondary businesses into a new operating model to leverage capabilities developed in U.S. Higher Ed to accelerate digital growth in international and secondary and optimize synergies.
 Aligned with this strategy, in the first quarter, we have reorganized our content, product and digital delivery teams into a streamlined and unified organization, realizing over $10 million of cost savings on an annualized basis which will flow into our results from Q2 onwards. The Cengage Academic expected to grow revenues modestly in fiscal '23. These incremental cost savings on top of ongoing efficiency programs underpin our expectation that we can continue to grow profit and expand ELPP margins in academic in fiscal '23 and the future.
 Looking at the industry sectors served by Cengage Academic. As covered, in U.S. Higher Ed, print and bundled order patterns significantly distort the quarterly trends, which are not indicative of our full year expectations. Looking beyond Q1, the key fall selling season has substantially progressed, and we are seeing good sales momentum supporting our expectation of better underlying net sales performance in fiscal '23 before enrollment impacts.
 In fiscal '22, full year adjusted cash revenues were down 2% with the benefits of returns provisions moderating a net sales decline of 4%, which included a 1% contribution from licensing revenues. This net sales decline was achieved against an industry backdrop of a 3% to 4% headline decline in enrollment. Our sales team is back in the field, sharply focused on winning adoption takeaways with our unique product offerings, Cengage Unlimited and the recently launched Cengage Infuse and leading customer service capabilities.
 In addition, we are further seeking to drive top line growth through an expanded institutional sales team and executed pricing strategies whilst remaining focused on our commitment to affordability. On enrollment, in the absence of reliable indicators, we remain cautious and expect continued headwinds in fiscal '23, the extent of which remains difficult to estimate.
 In International Higher Ed, adjusted cash revenues were $24 million or 6% ahead of the prior period. With the exception of Australia, all regions delivered growth in adjusted cash revenues in the first quarter. We believe the strong recovery in demand and growth momentum in fiscal '22 will be broadly sustained in fiscal '23 underpinned by a healthy sales pipeline and digital initiatives, including the continued rollout of institutional offerings, leveraging the capabilities of the U.S. Higher Ed. In our secondary business, Q1 adjusted cash revenues and underlying net sales are marginally ahead of the prior period. 
 Normalizing for high levels of back orders, Q1 net sales would have been around 10% ahead of the prior period. We are now significantly advanced through the sales season, and we believe the strength of the confirmed order book and sales pipeline support our expectation of another year of strong growth in fiscal '23. This is underpinned by good momentum in our college and career readiness strategy, driving growth in advanced placement orders, a strong performance in the Florida math adoption and a favorable funding environment supported by the multiyear federal asset funding program.
 In Cengage Work, Q1 adjusted cash revenues were up 11% on a pro forma basis, including Infosec, which grew 16% on a like-for-like basis. Demand for skills training and our core health care and cybersecurity sectors remains very robust. We see this in the strength of our lead flow and sales pipelines, and we believe demand will not only be resilient in a recession but may be enhanced given the significant structural workforce shortages in these sectors of the economy. Against this background of sustained strong demand, we are executing key strategic and operational initiatives with a goal of accelerating growth.
 In Ed2Go, these initiatives include integration of Infosec courses into academic partner catalogs, expansion of enrollment teams and investments in workflow tools to improve productivity and lead conversion; and pricing strategies, which were implemented at the end of the first quarter. In Infosec, our initial focus has been on sales expansion and improving lead generation and conversion. We have significantly expanded our boot camp sales team to handle growing lead volumes, established a large channel team focused on growing relationships with value-added resellers and hired an international sales team. These investments are designed to drive revenue growth in fiscal '23 and sustain strong profitable growth in future years.
 In the current year, as in the first quarter, this will moderate the ELPP contribution as the business scales. We expect revenue growth to accelerate over the balance of fiscal '23, both in Ed2Go and Infosec with Cengage Work expected to deliver pro forma full year revenue growth ahead of the 17% achieved on a trailing 12-month basis.
 Now looking at the Cengage Select businesses. English Language Teaching has had a strong start to the year and adjusted cash revenues were up 13% in the first quarter to $24 million. This was driven by double-digit growth in Latin America, Europe, Middle East and Africa and the U.S.
 Overall growth is moderated by pressures in China, where the market is continuing to adjust to the legislative changes introduced in the last fiscal year. We also continue to see sustained growth in digital with digital net sales up 11% in the quarter and 28% on a trailing 12-month basis as hybrid teaching continues to be more widely adopted.
 ELT has strong growth momentum, underpinned by the investments we are making in our digital platforms, new product launches and a strong sales pipeline including the implementation of large Ministry of Education contracts from our growing business to government channel, all of which supports our expectation for ELT to deliver strong double-digit revenue growth in fiscal '23.
 Research also started the year well with adjusted cash revenue of $47 million, marginally ahead of the prior period. The Q1 performance was held back by adverse phasing of database renewals, which is expected to reverse over future quarters and masks strong growth in archive sales to higher education institutions. Research recovered well from COVID in fiscal '22 and is expected to build on this base in fiscal '23, albeit more modest growth rates than in the prior year. 
 This expectation is underpinned by high database subscription renewal rates, reaching 95% through July, healthy archive pipelines and sustained demand for databases from the U.S. K-12 academic library sector. Our other segment comprises Milady and the Australian K-12 businesses. both of which are expected to grow in fiscal '23.
 Q1 net sales were held back by temporary sales shifts in both businesses, higher back orders in the case of Milady, and COVID-related order delays in Australia, which we expect to reverse in the balance of the year. Levered free cash flow for Q1 was an outflow of $138 million compared to an outflow of $81 million in the prior period.
 The levered free cash outflow in Q1 is foremost a function of the normal annual cash cycle. Compared to the prior period, cash flow reflects the Q1 ELPP performance and relative timing of royalties and other expense payments. Together, these temporary effects represent the majority of the year-over-year variance and will not impact full year cash performance. In addition, we are investing in the build-out of new SaaS-based global business systems, CRM, ERP and e-commerce to support our long-term growth strategy.
 Turning to our balance sheet and capital structure. Our total cash balance at the end of the first quarter was $191 million. Q1 represents the low point in our quarterly cycle, reflecting the normal seasonality of the business. The balance sheet remains strong with total liquidity of $261 million at the quarter end, underpinned by the cash position.
 As we progress through the back-to-school season over Q2 and Q3, our cash and liquidity positions are expected to progressively build driven by the inherent strong cash generation dynamics of the business and consistent with the patterns in previous years. Net leverage temporarily increased to 6.5x at the end of the quarter compared to the position at the end of March. This again reflects the normal seasonality of the business and relative phasing of ELPP in Q1 in this fiscal year.
 We took advantage of the strength of our liquidity position and widening discounts in the debt capital markets to buy back $14 million of senior notes in the quarter at an average price of $0.94 to $0.95 on the dollar under our continuing Board authorization of $100 million. More broadly, we continue to assess our capital structure, including potential use of excess cash in the context of our overall strategic objectives for the business.
 To close, we are reconfirming our guidance for full year fiscal '23. In fiscal '22, our pro forma revenues were $1.398 billion, including full year revenues of approximately $35 million from Infosec. From this base, we expect Cengage Group fiscal '23 adjusted cash revenues to grow in the mid-single-digit range, broadly sustaining the growth trajectory of fiscal '22. Cengage Academic, Work and Select business units are all expected to contribute to top line growth, as I have previously addressed.
 We do expect to see some shift in net revenues between quarters driven by our digital strategy and through our tight management of the supply chain as we saw in Q1. Against this revenue range, we expect to deliver solid ELPP growth with ELPP margins being at least maintained as we continue to reinvest, principally in Cengage Work, to sustain high growth and scale the business profitably.
 We expect these investments will be primarily funded through continued productivity improvements and savings from the ongoing simplification of our operating model and continued tight management of our cost base. Through strong cash generation and ELPP growth, we expect to continue to reduce net leverage through fiscal '23 from the 5.8x at the end of fiscal '22.
 In closing, the combination of the first quarter performance of the business, the current strong underlying demand and sales momentum, the inherent resilience of our business and the progress we are making with key strategic and operational initiatives reinforces our confidence in the full year outlook and our ability to sustain growth in the future. I will now pass back to the operator to open the line for questions. Thank you. 
Operator: [Operator Instructions] Your first question is coming from Matt Swope of Baird. 
Matthew Swope: I know enrollment is tough to predict. Could you talk a little bit about what you're modeling in for the next quarter and also maybe what sources you guys look to, to track enrollment, sort of key dates that we get good information on enrollment? 
Michael Hansen: Yes, Matt. Good to hear your voice. It's Michael. So as you know, because you've been following the industry, there is no real single source of truth on enrollment. So you've got to triangulate a lot of different data points. First and foremost, we are obviously relying on our -- in on-the-ground sales force who are in constant dialogue with the institutions that they serve.
 In addition to that, we're also looking at summer enrollments, which are currently underway. And then we are assessing also individual discussions and service that we do with regard to institutions. So with all of that, we are looking, as we said in our statement, at a -- not a change in trend, meaning that, over the last few years, with a little bit ups and downs, we've seen continued enrollment decline to the tune of, on average, 2% to 3%. We see this continuing. We don't see any hard evidence that this is going to change.
 That said, I want to be very explicit because, particularly of the late enrollment nature of community colleges, which represent about 40% of the market, nobody knows at this point. So things could change almost on a dime in late August, early September when people decide -- learners are deciding whether they want to enroll or not enroll. 
 So that is the basis. We continue to be realistic, I would say, and somewhat pessimistic about enrollment trend changes. And at the same time, we are cognizant of the fact that things can turn relatively quickly, particularly in 2-years' course. 
Matthew Swope: Michael, that's helpful. And could you talk a little bit more about Cengage Infuse and what your strategy is there? 
Michael Hansen: Yes, the strategy is really a continuation of the strategy, the way we've been pursuing, which delivering high-quality materials to students at affordable prices. And what we have added with Infuse is really a very easy way for faculty to integrate what they do in the learning management system with what they do on our platforms. .
 In other words, these used to be somewhat separate activities and many of the faculty members were using the learning management systems to set up the class and do all the administrative stuff and then they had to turn to us and really manage the setup of the course itself, what they were actually teaching. Infuse makes this significantly easier for the faculty and they don't have to leave one environment to operate in the other environment. 
 So it's really a continuation of the strategy around affordability, high-quality content and service to the faculty. So we are excited about the product that was really based on a lot of consumer and customer research with regard to faculty. But we are also equally realistic is that these products take time to develop in the market as did Cengage Unlimited. We -- so we are not envisioning some sort of magical uptake of the product, but more a continuous gradual build of the product. 
Matthew Swope: I see. And is this -- this is separate from content then? Is this almost an application that you sell? Or how does this integrate with your... 
Michael Hansen: The content is integrated into it, Matt. It is -- the content is integrated. The faculty adopts and now can set up the content within the learning management system in a seamless way. 
Matthew Swope: I see. That's helpful. And then just one last one for me, maybe for Bob around the bond buyback that you did. Will you guys look to continue doing that? And do you have any -- I know you said you're sort of always assessing the capital structure, but as that 2024 bond maturity approaches, could you give us any updated thinking on how you're going to deal with that? 
Bob Munro: Matt, as you say, we've continued to assess the capital structure and think about alternatives. And as you point out, there's a little under 2 years to the maturity of the bond. And so we have some time, but you also recognize that capital markets have not been constructive over recent months. So we use that time to continue to prepare, to think about alternatives, to think how we might use excess cash. .
 And I think an important point is particularly in the current environment, the consideration that the business is performing. We are highly cash generative and profitable. We expect to grow profits and revenues and those profits are both -- and cash flows are both sustainable and resilient. So that gives us confidence, and we'll continue to monitor the capital markets and alternatives over the coming months as we think about that.
 And then turning to sort of the debt buyback. Again, we think about that very much in the context of the broader sort of capital structure. We took advantage of our liquidity position, widening discounts to deploy excess cash. We got a standing Board authorization of $100 million. We've continued to be active where we see value and opportunity, and we'll provide a further update on that activity at the next results announcement when we get to Q2. 
Operator: Your next question is coming from Lovro Curcija from Sky Harbor Capital. 
Lovro Curcija: You mentioned briefly community colleges. If you can expand a little bit on that and maybe remind us what percentage of your U.S. Higher Ed rev really comes from community colleges. 
Michael Hansen: Yes, happy to do this, Lovro. So we are essentially a reflection of -- our revenue exposure is a fraction largely of what the market composition is and community colleges represent, on average, about 40% of the enrollment of the total enrollment for the Higher Ed in the U.S. 
Lovro Curcija: Okay. Got it. That makes sense. And you talked a little bit about the seasonality maybe being a little bit more pronounced going forward and trends being a little bit more unpredictable. Could you expand a little bit on that? I mean you reiterated your guidance for the full year, but how can we think about next 2 quarters? I'm expecting some choppiness. Is that all right to assume that? 
Michael Hansen: I think that I would separate it, and I believe Bob had set it up in his comments very well. There are a number of factors that we can control, and we feel very optimistic about them. They include our ability to take away share from our competition, they include our ability to penetrate the aftermarket because we have an affordable solution for students. And therefore, for them, it's really easier and more affordable to actually go with Cengage Unlimited. So those things are in our control, we feel very optimistic about.
 What we don't know and what we have no control over is really how enrollment is going to develop, particularly in the community college sector, because there, unlike in most 4-year colleges, there is no pipeline that is building over the summer and then there is higher predictability as how many students are actually going to show up in the fall. There often is -- as I said in an earlier comment, there is a much more, if you want, spur of the moment decision, do I keep the job that I'm doing right now and -- or do I go to college. Do I go to night school, do I do something else, those decisions will be made by learners very much in real time in end of August, beginning of September. And that I think is the variable that we don't control.
 But taking it all together, we feel cautiously optimistic for the fall. And barring that -- barring any further hard evidence, which we will get only over the next 4 to 6 weeks, that's the stance that we've taken and that's the stance that we have communicated to all of our investors. 
Operator: Your next question is coming from Bryan Walker from Invesco. 
Bryan Walker: Just 2 for me. So the first is on the spring sales season performance. So if I remember correctly, you've said in the past that the spring is the key season when your sales -- for your sales force, when professors choose their courseware for the next academic year. So now that we're through that period, can you talk a bit about your expectations for Cengage market share performance for this upcoming year? 
Michael Hansen: Yes, Bryan, happy to do this. You absolutely stated correctly that the spring season is what is generally in the industry called the adoption season, i.e., this is when the discussions happen between faculty or committees and us, particularly our sales leadership. And coming out of COVID, this was really the first spring season where faculty was back on campus and, importantly, our sales force was back on campus.
 So we were planning for a resumption, so to speak, of the trend that we have seen since the introduction of Cengage Unlimited, namely that we are gaining share based on our strategy of providing affordable, high-quality material. I think that, that assumption has turned out based on the data that we have seen has turned out to be true. 
 But we also want to be very clear that campus life is not the same as it was before the pandemic. In other words, the attendance of faculty of -- on campus is sometimes limited to they're just teaching the class, and then they're leaving and they're doing a lot of stuff otherwise online or from their homes, et cetera. So we continue to monitor that and find the best way to interact with the faculty that continue to be the key decision makers. But broadly speaking, we are very satisfied with the resumption of the takeaway campaign that we've seen in prior years. 
Bryan Walker: Got it. And then you mentioned a couple of times implementing pricing strategies this quarter. By pricing strategies do you mean price increases? 
Michael Hansen: No, it's a mix really because we have been from the beginning, and you've heard us say this many, many times, we believe that the market, a lot of the decisions by faculty and by students at the point of sale, turn on do I have the right quality content for faculty and then is it affordable. And we have really been the leader of affordability highlighted by the introduction of Cengage Unlimited, which really changed the game in the industry towards a all-you-can-eat subscription type model.
 That, in and of itself, that strategy has not changed. Now as Bob said at the -- from the outset, we are not immune to inflationary pressures. We have seen significant inflationary pressures around some of our raw materials, most importantly, paper. But we've also seen inflationary pressures in wages, et cetera. So we are taking thoughtful, appropriate steps to make sure that our core strategy of affordability remains in place, but we're also realistic about that we have to pass on some of those cost pressures to our customers. So in that respect, it's not a sort of a blanket price increase strategy, but it's a much more thoughtful, selective and, I would say, not very aggressive passing on of the cost pressures that we're facing. 
Bryan Walker: Got it. So if I zoom out not on an individual unit basis, but on kind of a financial performance basis, do you expect to be able to pass through most of, if not all, or even more than the inflationary pressures that you're seeing on the cost side? 
Michael Hansen: If you zoom out, I would say, it's what we are -- we're hoping to pass on what we are seeing. I don't think we think or want to pass on more than what we're seeing in terms of cost pressures in the market. But as you know, the market is price sensitive. So we are very careful and surgical about this to make sure that we're not losing volume as a result of a pricing strategy that would be misguided from our perspective. 
Bryan Walker: Okay. So best efforts effectively trying to get it all through it, yes, sensitive. 
Michael Hansen: Yes, exactly, exactly. 
Operator: There appear to be no further questions in the queue. So I will now hand back over to Michael for closing remarks. 
Michael Hansen: Thank you very much, Jenny, and thanks for all of you participating in the call and for your questions. We appreciate that. I hope you took away from the -- from our discussion that we remain very confident and very optimistic about the future of our business in all of its elements across the portfolio. And I want to thank all of you for tuning in and look forward to updating you next quarter. 
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.